Operator: Good day, and welcome to the Iteris Inc. Fiscal Fourth Quarter and Full Year 2022 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Todd Kehrli of the MKR Group. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon everyone and thank you for participating in today's conference call to discuss Iteris' financial results for its 2022 fiscal fourth quarter and full year ended March 31, 2022. Joining us today are Iteris’ President and CEO, Mr. Joe Bergera and the company's CFO, Mr. Doug Groves. Following their prepared remarks, we'll open the call for questions from the company's covering sell-side analysts. Before we continue, we’d like to remind all participants that during the course of this call, we may make forward-looking statements regarding future events or the future performance of the company, which statements are based on current information that are subject to change and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today and no one should assume that at a later date the company’s comments from today will still be valid. Iteris refers you to the documents that the company files from time to time with the Securities and Exchange Commission, specifically the company’s most recent Forms 10-K, 10-Q, and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. As always, you’ll find a webcast replay of today’s call on the Investors section of the company’s website at www.iteris.com. Now, I’d like to turn the call over to Iteris’ President and CEO, Mr. Joe Bergera. Please proceed.
Joe Bergera: All right. Thank you, Todd and good afternoon to everyone. I appreciate all of you joining us today. I want to remind everyone that we completed the sale of our Agriculture and Weather Analytics segment to DTN LLC on May 5, 2020. As such we’re reporting the results of that segment as discontinued operations for all periods presented in today's earnings announcement. I'll be discussing only our continuing operations for the remainder of this call. The company reported record fiscal 2022 fourth quarter total revenue of $34.2 million and record fiscal 2022 full year total revenue of $133.6 million, representing a respective 8% and 14% year-over-year increase. As you’ll note this note this revenue result is slightly below our full year revenue guidance of $134 million to $136 million. The revenue variance is fully attributable to supply chain challenges that presented us from fulfilling and recognizing $2.2 million in fourth quarter revenue on Vantage sensor backlog. These are not lost orders. In fact, we’ve begun fulfilling this $2.2 million of Vantage backlog in the first quarter of fiscal 2023. I will discuss our supply chain exposure and supply chain mitigation plan in more detail in a few minutes. Notwithstanding our supply chain challenges, customer response to our ClearMobility platform is very positive and we continue to strengthen our position of leadership in the smart mobility infrastructure management market. In the fourth quarter we reported record total net bookings of $41.9 million, representing a 27% increase compared to the same prior year period. This brings our full year total net bookings to a record $155.4 million representing a 28% increase year-over-year. Given our sustained record net bookings, we ended the March 31 period, I'm sorry, we ended the March 31 period with record total ending backlog of $99.9 million representing a 28% increase year-over-year and an 8% increase on a sequential basis. As always, our reported net bookings and ending backlog figures reflect firm customer orders. Of our $34.2 million in fourth quarter total revenue, 49.9% was recorded as product revenue and 50.1% was recorded as service revenue. As a point of comparison, 51.5% of our $133.6 million in year-to-date revenue was reported as product revenue and 48.5% was reported as service revenue. The mix shift reflects fourth quarter supply chain constraints. Our fiscal 2022 fourth quarter product revenue was $17.1 million versus $15.9 million in the same prior year period, representing an 8% increase year-over-year. While this is respectable organic growth, the result was below our expectations due to supply chain constraints that prevented us from shipping $2.2 million in fourth quarter Vantage sensor backlog. If not for the fiscal fourth quarter supply chain constraints, our fourth quarter product revenue would have been $19.3 million or 21% higher in the same prior year period and our full year product revenue would have been $70.9 million or 13% higher than the same prior year period. Additionally, please note that our fourth quarter product revenue growth is due to an increase in unit sales in the period since the 10% price increase we implemented for our Vantage sensors on January 1, 2022, has not started to bleed into our revenue results. As we’ve talked about on the prior call, we provide price quotes at least one quarter prior to the receipt of the corresponding sales orders. Based on our fourth quarter product results, we believe Iteris continued to navigate the supply chain environment better than our competitors and continued to take market share in the detection market.
Autoscope: To that end, in the fourth quarter, we announced that Iteris in partnership with Ford, Toyota, Qualcomm and Continental AG was awarded a $20 million 3-year pilot project to demonstrate the safety potential of connected and automated vehicles operating in cooperation with Iteris’ Vantage Fusion sensor. Additionally, we received statewide approval, in other words, a hunting license from the New York State Department of Transportation to sell and deploy our Vantage Radius sensor. And we won a competitive procurement by the Florida Department of Transportation ClearGuide at $1 million to deploy our connected vehicle sensor, which we brand as Spectra CV. That deployment will occur across a corridor in District Seven. Furthermore, our Vantage Next sensor was selected as the detection standard for many of the nation's largest signal modernization initiatives resulting in the following notable fourth quarter purchase orders, a $9.4 million purchase order for Miami Dade Florida for the first phase of a multi-phase project to modernize the county’s signalized intersections, a $3 million order from Baton Rouge, Louisiana to deploy our Vantage Next sensor across the city’s signalized intersections, a $2 million order from Concord, California to modernize the city’s signalized intersections with our Vantage Next sensor with hybrid video and RADAR detection, a $1.2 million order from Fremont, California to deploy our Vantage Next sensors, and a $500,000 order from the Colorado Department of Transportation to deploy our Vantage Next sensor with hybrid video and RADAR detection. Unfortunately supply chain challenges not only constrained our ability to fulfill our entire fourth quarter backlog, but these challenges also resulted in significant additional costs to source and to expedite components from alternative suppliers. Doug will characterize the current and near-term impact of supply chain constraints on our gross and EBITDA margins. However, in the meantime, I want to assure you that we've developed a comprehensive supply chain mitigation plan, which we are currently implementing and is intended to progressively improve our supply chain position. Key elements of the plan include; one redesign of certain Vantage sensor circuit boards to reduce our dependency on specific chip sets; two, expansion of our supplier base by negotiating volume and price commitments for alternative chip sets; three, expansion of our secondary market or our broker network for enhancements of certain supply chain and manufacturing business practices with the help of outside advisors and strategic hires. Fifth, increase in our buffer inventory to cover a target 12 to 18 months of key components; and six, implementation of certain additional price increases to further offset materials costs going forward. Our plan should meaningfully improve our supply chain position as we progress through fiscal 2023 even if the global supply chain environment remains largely the same as current conditions. In other words, the benefits should begin to bleed through our Vantage sensor revenue and gross margin lines in our fiscal 2023 second quarter. In a few minutes, Doug will discuss the financial implications of this mitigation plan in more detail. In the meantime, I want to review the performance of our service lines of business. As you'll recall, we recognize two forms of service revenue, one project based revenue that is associated with our consulting activities, and two, annual recurring revenue from our software-as-a-service data-as-a-service, platform as a service and managed service offerings. Fiscal 2022 fourth quarter service revenue was $17.1 million versus $15.8 million in the same prior year period. This represents an 8% year-over-year increase. On a full year basis, fiscal 2022 service revenue was $64.8 million versus $54.2 million in the same prior year period, representing a 20% year-over-year increase. Our fourth quarter annual recurring revenue was $8.7 million or 51% fourth quarter total service revenue and full year annual recurring revenue was $33.5 million or 52% of full year total service revenue. In the fourth quarter, we recorded $20.3 million in net service bookings, as well as executed several large contracts with the following agreements being some of the more notable.
iHeartMedia: In summary, customer response to our ClearMobility solutions roadmap continues to be very strong, resulting in record total fourth quarter and full year net bookings as well as record total ending backlog. Our supply chain constraints prevented us from fulfilling $2.2 million for our fourth quarter Advantage sensor backlog. We did report solid organic revenue growth, and we made good initial progress implementing our supply chain mitigation plan. Before I discuss our fiscal 2023 expectations, I'd like to turn the call over to Doug to provide some more color on our fourth quarter and our full year 2022 financials.
Douglas Groves: Thank you, Joe. Good afternoon, everyone. As a reminder, please see the company's 10-K filing and press release, which is posted on our IR website for a further description of matters under discussion during the call today. As Joe mentioned we faced several supply chain challenges again this quarter that impacted both the top and bottom line results. While we had anticipated some of these challenges, certain componfec. During the call today, as Joe mentioned, we faced several supply chain challenges again, this quarter that impacted both the top and bottom line results. While we had anticipated some of these challenges, certain components that were available last quarter were suddenly unavailable in the current quarter. So this continues to be a very challenging environment. From a revenue standpoint, there were approximately four core components within our Vantage sensor product family that we could not source in the quantities we needed from any suppliers. This prevented us from manufacturing all the circuit card assemblies necessary to fulfill a substantial percent of Q4 sensor backlog. This drove approximately $2.2 million in product sales to slip out of the quarter. On the cost of goods sold side, we continued to have multiple components that were not available from our normal suppliers. So we had to access the secondary markets, i.e. brokers, where we saw prices on these components increase anywhere from 200 to 100 times our normal costs. These component cost increases, coupled with higher freight costs to expedite component shipments impacted the product gross margins by about $2.1 million or 1,240 basis points. As Joe mentioned, we've got many ongoing initiatives to improve the situation. However, we do expect there to be continued supply chain pressure for the next few quarters before we realize the full benefits of these initiatives. On the bright side demand for our products and services continues to be strong as evidenced by our record bookings and backlog in the quarter. Now I will move on to the details of the fourth quarter results. Total revenue for the fiscal 2022 fourth quarter increased 8% to $34.2 million compared to $31.7 million in the same quarter a year ago. Our gross margins in the fourth quarter decreased 850 points to 32.4% compared to 40.9% from the same quarter last year. As previously mentioned, this was all due to higher component and freight costs. Turning to our revenue mix, the product revenues increased 8% to $17.1 million compared to $15.9 million in the same quarter last year, taking into account the $2.2 million of revenue that was not recognized because of component shortages, the revenue growth would have been 21% quarter-over-quarter. Product gross margins declined 1,040 basis points and were 32.3% compared to 42.7% from the same quarter last year, due to the supply chain cost issues mentioned previously. On a normalized basis, excluding the supply chain issues, the gross margins would have been about 45%, which is much closer to their historical average. Our service gross revenues grew 8% to $17.1 million compared to $15.8 million in the prior year quarter, as Joe mentioned in the fourth quarter, 25% of the total revenue was annual recurring revenue, which was consistent with prior quarters. Service gross margins decreased 680 basis points to 32.4% compared to 39.2% from the same quarter last year. This was due to higher subcontractor costs on several projects in our consulting business in the current quarter, when compared to the prior year quarter. As a reminder, gross margins on most of our subcontractor costs in the consulting business are limited to 10% or less markup due to the procurement policies of most public agencies. Additionally, there was a slight increase in the licensing costs for some of the data we use in our ClearMobility cloud. Operating expenses in the fourth quarter were $14.1 million compared to $13.4 million in the same prior year quarter. This increase is the result of higher R&D spending of $262,000 as we continued to build out the ClearMobility platform and higher sales and marketing expenses of 453,000 related to higher bid and proposal costs and sales commissions on higher revenue. General and administrative expenses were flat year-over-year and we continue to be focused on keeping our G&A expenses flat to get more leverage on the P&L. We reported a GAAP operating loss in the fourth quarter of $3 million compared with a GAAP operating loss of 382,000 in the same quarter a year ago. The GAAP net loss from continuing operations in the fourth quarter was $3 million or a loss of $0.07 per share, which compares with a net loss from continuing operations of $385,000 or a loss of a penny a share in the same quarter a year ago. Adjusted EBITDA for the fourth quarter was a loss of $1.1 million or a negative 3.1% of revenue, which compares to $1.8 million or 5.5% of revenue in the third quarter of last year. The GAAP operating loss, GAAP net loss, and adjusted EBITDA loss were driven by the supply chain issues as previously noted. Due to the supply chain mitigation plans outlined by Joe, we anticipate a progressive improvement in our supply chain position beginning in the second quarter. This should yield a full year EBITDA margin in the mid-single digits with the anticipated improvement in the products gross margins. We are expecting the product gross margins to return to about 45% as we add to the Q4 of fiscal year 2023, which again is close to their historical average. Turning to liquidity and capital resources, total cash and cash equivalents were $23.7 million at the end of the year, the $3.8 million decrease in cash and cash equivalent quarter-over-quarter was a result of changes in our working capital. Specifically, we're buying more raw materials as buffer stock to hedge against the ongoing supply chain shortages and accounts receivable increased in the quarter due to the timing of our invoicing being later in the quarter for our Vantage sensor products due to the component shortages. We spent $130,000 in purchases of property and equipment in the fourth quarter and $466,000 for the year, which is 0.35% of total revenue reflecting our asset life business model. So in summary, we continue to be laser focused on the supply chain challenges, and we recognize we're not alone in this situation, as many Fortune 500 companies have also reported similar experiences given the global shortages on a multitude of products. As Joe mentioned, we'll proactively manage this situation by extending lead times on purchase ordering, buying ahead where we can, redesigning aspects of our products to find replacement components for those that are unavailable and enhancing our supply chain capabilities. With that, I will turn the call back over to Joe. Joe?
Joe Bergera: Great, thanks Doug. So despite the global pandemic and associated supply chain disruptions, Iteris continues to enhance its position in the large dynamic and highly fragmented smart mobility infrastructure management market. This market represents significant opportunities due to favorable secular trends, as well as historic and new investment driven by the recently passed Infrastructure Investment and Jobs Act, or IIJA. Iteris’s market access, our knowhow and our platform based strategy provide degrees of freedom and optionality that most companies in our market lack. As a result, we are very optimistic about the opportunity in front of Iteris and believe the current environment actually improves our clear mobility value proposition and competitive position despite some near-term disruption from supply chain constraints. To accelerate the capture of these opportunities, we will execute an aggressive FY 2023 solution roadmap to expand the adoption of the ClearMobility platform, enhance the cross sell of our ClearMobility offerings, an increase in monetization of our ClearMobility data sets. Key releases will be, one extending the ability of our banded sensors to cooperate with connected and automated vehicles; two, increasing the attach rate of our SaaS solutions to our installed sensors; three, enhancing the artificial intelligence capability of our banded sensors; four, creating packaged -- pre-packaged mobility data solutions for new public sector and private sector customer segments; five, introducing new ClearMobility technical features to further enhance and differentiate our economic value proposition for IT buyers who are increasingly important in our end markets; and six, continuing to expand and enhance our cloud enabled managed services portfolio, which among other benefits will accelerate the adoption of our SaaS solutions and allow us to transition certain consulting activities to an annual recurring revenue model. To support our platform centric business model and our aggressive solutions roadmap, we're consolidating and reorganizing the technical teams that formally comprised our applications and cloud solutions and advanced sensor technologies business units. The new structure will be comprised of a single product team responsible for unified everything as a service and sensor roadmap and a single development team responsible for delivery of the unified roadmap. The product team will be led by Will Cousins, who has been appointed Senior Vice President and Chief Product Officer. Will has recently joined Iteris from Zonar Systems, a subsidiary of Continental AG, where he served as Senior Vice President of Products, Design and Automotive OEM Solutions. The development team will be led by Todd Kreter, who has been appointed Senior Vice President and Chief Technology Officer. Previously, Todd served as Senior Vice President and General Manager of our Advanced Sensor Technologies business unit. This new functional structure will drive better alignment across our software and sensor portfolio, enhance resource utilization, accelerate the development of ClearMobility cloud and support our continued organic and inorganic growth. As a result of this reorganization, Iteris will take a pre-tax restructuring charge of $0.7 million in our fiscal 2023 first quarter and generate annualized cost savings of approximately $1.2 million, which in addition to the aforementioned benefits will help offset materials cost variances until we begin to realize the full benefit of our supply chain mitigation plan. Looking ahead, the company's sales pipeline, which includes both public sector and private sector demand for our ClearMobility platform continues to reach new historic levels due to the sustained release of best-in-class technology and our solid sales execution. Additionally we expect IIJA funding to begin to show up in state and local agency budgets in the second half of our fiscal 2023. Therefore we anticipate continued bookings growth in our first quarter and beyond, even though results may fluctuate from quarter-to-quarter, especially as we continue to pursue more multimillion dollar contracts, including complex agreements with large private sector entities. Based on our current record backlog and anticipated bookings growth, we forecast fiscal 2023 total revenue of $147 million to $155 million, which would represent organic growth of 13% at the midpoint of the guidance range. Also as previously noted, our supply chain mitigation plan will begin to produce progressive benefits starting in our second quarter. As a result, we forecast an improvement in full year adjusted EBITDA that should fall within a range of 5% to 6% of full year revenue. To be clear, we expect our fiscal 2023 first quarter to look similar to our fiscal 2022 fourth quarter, after which we'll begin to realize the benefits of our supply chain mitigation plan. In summary, fiscal 2022 was extremely challenging due to the impact of global supply chain issues, but we believe Iteris navigated the period better than most of our competitors and continued to make good progress transitioning Iteris to a platform centric business model. Therefore not withstanding the difficulties of fiscal 2022, we believe Iteris remains on track to realize our Vision 2027 operating model as outlined in our December 2021 technology update. As a reminder, the target operating model assumes the combination of sustained above market organic revenue growth, and two to three tuck-in acquisitions will more than double our fiscal 2022 total revenue to $275 million at the midpoint of the range and triple our fiscal 2022 annual recurring revenue to $100 million at the midpoint of the range by 2027. Lastly, because your Board of Directors believes the recent trading range of the company's stock is disassociated from the opportunity in front of Iteris, the Board has authorized a new stock repurchase program whereby 10 million in common stock may be repurchased from time-to-time in the open market. We believe buying back our own stock is a recognition of the long-term prospects of our business and the undervalued price of our stock. With that, we will conclude the prepared remarks and would be delighted to respond to your questions and comments. Operator do we have any questions?
Operator: Thank you. [Operator Instructions] Our first question comes from Jeff Van Sinderen with B. Riley. Please go ahead.
Jeff Van Sinderen: Okay, great. So realize it's a fluid situation, but based on what you know today, what are you contemplating for the timing of supply chain normalization, let's call it? And then sort of as a second part of that, what is the outlook for subcontract work? Just wondering there was an impact in the quarter, do you anticipate that to just fluctuate or do you have any visibility there? Just wondering on gross margin impact going forward there. And then, I guess, when do you anticipate realizing the full impact of the supply chain mitigation plan?
Joe Bergera: Doug, do you want to take those questions?
Douglas Groves: Sure. So let's start with the supply chain mitigation plan. As noted, we've got several things underway. One of the more significant is of course the redesign of some of our circuit cards and we're making good progress on that, but that is going to take some time because we've got to not only redesign the product, but we've also got to field test it as, Joe noted one of the things that sets us apart from our competitors is the superiority of our product and how it performs in the field. So, we're not expecting to see meaningful improvement in the product gross margin until we probably get to the second quarter and then that gets progressively better quarter-over-quarter, exiting the year back about where the product margins were before this whole supply chain situation got started, which is in the kind of mid 40% range. As far as the subcontractors go, that does vary from quarter-to-quarter and a lot of the subcontractors that we do work with are of course facing the same supply chain constraints that we have. So there is variability in how much subcontractor, particularly equipment, gets shipped to the sites where we're acting as the system's integrator. So it really, it's hard to pinpoint that because we don't have good visibility into their supply chains. But it's been historically an area that has been impacted by not only just COVID, but also the supply chain situation that we have now. So, we would expect that as things continue to improve, we should see better delivery from our subcontractors, which will drive more revenue, but just, highlighting that the, the revenue and the marked upon a lot of that equipment is not very big. So it does create a mixed problem in any given quarter.
Joe Bergera: So I think I'll add just a couple quick points to that. Jeff on the prior calls which I think you're referencing, we've talked about subcontractor delays and those took two forms. One is related to equipment. In some cases that was unavailable, that impacted our ability to recognize forecasted product revenue and also in some cases delayed project implementation. Additionally, we had some supplier delays which were actually personnel related because some of our subcontractors had staffing shortages. I do want everyone to be aware that in addition to the supply chain mitigation plan, which we talked about on this call, we've also taken some actions that will allow us to begin to in-source some of those activities that we previously outsourced. So that will reduce to some degree, our dependency on the staffing availability of some of the third party contractors that we previously worked with. So that's something that we've -- and action we took internally, which will help to mitigate some of the dependency that we have. The other thing which you've asked about Jeff, which I'm not sure whether we were clear about is, what is our overall expectation regarding the broader supply chain issues, and we obviously don't have a crystal ball. But our expectation is consistent with what we think most of the experts are saying is that the overall global supply chain environment is going to probably remain difficult through at least the end of this calendar year, perhaps longer. But based on the mitigation plan that we’ve put in place, we believe, as we said, we can improve our supply chain position, even if the global supply chain situation remains the same as it is today. So we're expecting that there'll be a continued problem, but we're taking efforts to mitigate our exposure.
Jeff Van Sinderen: Okay, great.
Joe Bergera: Did we address everything for you, Jeff, or anything else you'd like to ask?
Jeff Van Sinderen: No, sorry. I think you hit on most of the points there. I did want to ask you vis-à-vis the stock repurchase that you announced today. I'm just wondering does that, well, let me see, how do I ask this? I guess maybe just touch on the timing. I think we're at, I think we're past 18 months now which was kind of the timeframe you were thinking you'd be making, probably wouldn't stretch a lot beyond that to make another acquisition, just wondering how you're approaching acquisitions in the near-term? Is that deferred for now? In other words, are you buying back stock and lieu of making an acquisition or what's the thought process around all that?
Joe Bergera: Yes, well obviously we have a finite amount of capital, but we're continuing to look at potential acquisition targets. We'll continue to develop those and we'll pursue them. But at this point in time, we actually think that our investors will realize like the highest return on investment by actually, doing an acquisition of sorts, which is acquiring our own stock, but that's not to say that we are doing that in lieu of pursuing additional acquisitions. We we're very active in that regard and we'll continue to develop opportunities. Doug, do you want to offer any additional perspective on that?
Douglas Groves: No, I think that's exactly how we're thinking about it. And a lot of these opportunities, as you could imagine, take several quarters to develop. So, we've got a funnel of things that we're continually looking at, but in the absence of that, buying our own stock makes the most sense, those look actionable.
Joe Bergera: Yes. And I will say just for background at least in our market, you guys will remember that we had talked about the fact on our last call, we're actually seeing more deal flow which we took as a very positive thing, but right now there seems to be so much uncertainty in the market and at least some buyers seemed to be backing away. On one hand, that's kind of arguably potentially good news for us because there may be less -- like less competition for some of the acquisitions, we've also seen sellers start to back away because of the uncertainty regarding, their valuations. So right now we see a little bit of a pause, but we remain active and we're sure that the market will come back. It's a very fragmented market and there are lots of targets out there.
Jeff Van Sinderen: Okay. Fair enough. Thanks for taking my questions.
Joe Bergera: Operator, any other questions?
Operator: Yes. Our next question comes from Ryan Sigdahl with Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Good afternoon guys. Thanks for taking our questions.
Joe Bergera: Hi Ryan.
Douglas Groves: Hi Ryan.
Ryan Sigdahl: Curious, you mentioned kind of briefly at the end of your prepared remarks, working on some larger deals with some private entities, curious how much or I guess what part of your mix currently is private versus public? And then if you can elaborate kind of on that pipeline a little bit more?
Joe Bergera: Yes, so right now under 10% of our total revenue would be private sector. I don't want to mislead people. For the next three to five years, I'm sure that the majority of our revenue will continue to be in the public sector, but we are seeing a lot of inbound interest from various commercial or private sector entities who have an interest in certain solutions that we offer through our ClearMobility platform. And in some cases, some of these private sector entities have their own cloud strategies and they're interested in talking to us about cloud-to-cloud integration to support their broader mobility strategy. We are -- I can tell you that the pipeline of opportunities with private sector entities has grown exponentially. But, one of the kind of dirty little secrets is that when you're selling to really big private entities, sometimes those sales cycles can be at least as long and even longer than we're seeing in the public sector. So it will take some time before we see a meaningful change in the mix, but I can tell you already that contribution of private sector opportunities to our sales pipeline has increased significantly.
Ryan Sigdahl: And then maybe just expand on that, is that primarily on the product side or the service side or both?
Joe Bergera: So well, it's both in the sense that when I'm talking about services, in this case, I'm talking about software as a service and data as a service. And in some cases, even cloud enabled managed services that we would be providing the public sector entities. At this point, our private sector sales pipeline does not any, does not include any material consulting services for private sector entities. So again, it would be service revenue, but it'd be SaaS or what -- we also called in, in my remarks, everything is a service sales opportunities. And then there's also a little bit of product revenue related to the use of our detection sensors and also in some cases our connected vehicle sensors.
Ryan Sigdahl: Good. Moving on to kind of guidance, so positive EBITDA for the year, but do you think Iteris will be free cash flow positive this fiscal year?
Douglas Groves: Absolutely, yes. We’re -- as we said in the remarks, very focused on, getting this supply chain situation progressively better. And so I think that it will absolutely be cash flow positive.
Ryan Sigdahl: Good. One more from me just on the operational restructuring, good to see the savings there and efficiencies. Do you think there's any more opportunity for further consolidations within other parts of the business, streamlining cost rationalization or is this may ? Or is this kind of the main one to point out at this point?
Joe Bergera: Yes. I mean, we make an effort when we take actions like this, to try to, gang things together and, get things behind us because obviously things like this can be disruptive. But that being said, while I wouldn't anticipate any other near-term restructurings, there are a lot of opportunities for process improvement and for automation and we're always focused on that. Doug's responsible for leading a couple things. One is the development and implementation of a lean tool kit, which we're rolling out across the company. And also for those of you guys who don't know our internal information technology systems, group reports to Doug. And so, Doug, maybe you could provide some additional color on some of those, on to Ryan's question.
Douglas Groves: Sure. Yes. I would say that we're always looking for, improvements and automation as Joe referred to, sometimes that does result in redundancy in personnel, but to Joe's point, I don't think there's anything on the near term, but certainly as we work through this, maybe there are opportunities to be able to continue to streamline the cost structure, of the company be it with better processes and or automation and it's usually both.
Joe Bergera: Yes. And certainly as we've said before, the intent is to try to keep our G&A or corporate G&A flat, even as a company continues to grow. And a lot of that is coming, it's due to the process automation that we're talking about. But certainly there are opportunities with respect to marketing. We're using marketing automation, more and more sales automation, customer support automation, which will enable us to start to show more operating leverage as the company continues to grow.
Ryan Sigdahl: Thanks, Joe, Doug. Good luck guys.
Joe Bergera: Yes. Thank you, Ryan.
Douglas Groves: Thank you.
Operator: Our next question comes from Mike Latimore with Northland Capital Markets. Please go ahead.
Mike Latimore: Hi thanks. Yes, good to see the strong bookings there. I guess Joe, among your customers I assume they're not, sort of talking about some additional hesitancy around because there's an inflation or talk of recession, and I would imagine your agencies are a little more insulated from that kind of macro theme given where their sources of revenue come from, but just curious what you're hearing in that regard?
Joe Bergera: Yes, that's true. The market, generally just mobility overall generally from our perspective continues to be very robust. We have much more exposure at this point to the public sector than the private and so to your question specifically about public sector is, the discussion about supply chain constraints and inflation, is that impacting the sentiment of public agencies? The answer is no, at least not with respect to the activities that we support. We were pleasantly surprised that most public agencies came through the pandemic in a better budget position than I think a lot of them had anticipated. We have talked about on prior calls, one thing that's been benefiting us is that over the last decade state and local agencies have been putting in dedicated revenue sources to support their transportation infrastructure initiatives. And what we're finding is that, a lot of those revenue sources are, seem to be somewhat insulated from economic cycles like used taxes, for example, vehicle registration fees, those kinds of things don't tend to fluctuate that much during economic cycles. And so the revenue stream remained pretty strong even during the worst of COVID. And then on top of that, of course there was a lot of federal stimulus. And I think a lot of people have been talking about the most recent stimulus, which was enacted last summer. Only a portion of that has been spent. And the expectation is that the feds are going to extend the period for state and local agencies to continue to use that funding. So that provides a nice backstop. And then additionally, of course, there's the, IIJA on top of it, which more than doubles the funding that was previously available under the FAST Act Federal Surface Transportation Funding Bill, so there's a huge increase in that. And the Fast Act requires state and local agencies to match the funding. So there's a huge multiplier effect on the FAST Act. So overall, at least at this point in time, the public sector market seems to be extremely robust.
Mike Latimore: Yes, great. And then on your service contracts, I know you, well, first I know you have a price increase on the sensors, but on your service contracts, are there any sort of, I don't know, inflation adjustments built into the contracts or are those kind of negotiated non-renewals?
Joe Bergera: Yes, so it depends. So on the products we've talked about, it's relatively easier for a lot of reasons. In services, again, there are different kinds of services. So with respect to software, unless we're under contract and we've committed to certain pricing for some period of time over the course of that contract and in the event that there is no escalator in the contract, we in that case we may be prohibited. But in terms of increasing our pricing on new opportunities, we do believe that we have flexibility with respect to our software products, and also with respect to our cloud enabled managed services. Now, in terms of the consulting and our business process outsourcing, where our revenue generally is associated with underlying labor rates, and we have to provide a lot of visibility to that, there can be more restrictions. We are finding that at least currently agencies are pushing back on that. But remember at this point, less than 50% of our services revenue is associated with underlying direct labor. More than 50% of it is associated with software, data as a service or service level agreements. And in those instances, we have a lot more pricing latitude. Doug, I don't know if you want to add anything additional to that.
Douglas Groves: No, I mean, I think that covers it, Joe. I mean, you summarized it pretty well. I mean, we're obviously looking for every opportunity we can to increase our rates, increase our revenue. And so we do that on a judicious basis day in and day out as we not only look at new work, but also work that's renewing.
Joe Bergera: Yes. So Mike, again, in total, what that means or in summary, about 25% of our total revenue, which is tied to direct labor rates we may have limited latitude, but on 75% of it we've got some degrees of latitude and we will take reasonable actions.
Mike Latimore: All right, great. And then on the merging or unifying of the cloud and sensor team, does that change any reporting going forward or you continue to report the way you are?
Joe Bergera: Yes, Doug?
Douglas Groves: No, there's -- there'll be no changes to how we report. This is more of an internal reorganization to a more functional organization.
Mike Latimore: Okay, great. Thank you.
Todd Kehrli: Awesome, thanks Mike. Operator, are there any other questions?
Operator: There are no further questions? I would like to turn the conference back over to Mr. Joe Bergera for any closing remarks.
Joe Bergera: Super great, thanks a lot operator, and we appreciate your help today. And as always, I really appreciate everybody's support and also the thoughtful analyst questions. On the Investor Relations front, I want everybody to know that we'll be participating in various investor outreach events this quarter. Those will in general be done with our various -- in coordination with various covering sell-side analysts. We’ll also be presenting at the Stifel Cross-Sector Insight Investor Conference in Boston, Massachusetts on June 7th, just next week. And if you're participating in the Stifel Conference, yes please plan to attend our presentation and/or schedule a meeting with us, we’d love to see you. In the meantime, we look forward to updating you again on our continued progress when we report our fiscal 2023 first quarter results. And with that, we'll conclude today's call. Thanks everybody.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.